Operator: Welcome everyone to the G-III Apparel Group, Ltd. first quarter 2009 earnings conference call. (Operator Instructions). I would like to turn the conference over to Neal Nackman, Chief Financial Officer of G-III Apparel Group.
Neal Nackman: Before we get started I just want to remind you of the company’s Safe Harbor language. Some statements made today on the call are forward-looking statements as assigned under the Federal Securities Laws. Forward looking statements are subject to risks, uncertainties and factors which include, but are not limited to reliance on licensed product, reliance on foreign manufacturers, the nature of the apparel industry, including changing customer demands and tastes, customer concentration, seasonality, customer acceptance of new products, the impact of competitive products and pricing, dependence upon existing management, as well as business disruption from acquisitions and general economic conditions, as well as other risks detailed in the company’s filings with the Securities and Exchange Commission. The company assumes no obligation to update information in this call. In addition, during the call we will refer to EBITDA, a non-GAAP number. We have provided a reconciliation of our EBITDA numbers to our net income according to GAAP in our press release. I will now turn the call over to our Chairman and Chief Executive Officer Morris Goldfarb.
Morris Goldfarb: With me today are Wayne Miller and Neal Nackman our Chief Financial Officer. I will start with the financial highlights from the first quarter, with Neal Nackman providing more details in a few minutes. Net sales for the quarter were $75.4 million, well ahead of our forecasted net sales of $50 million. We outperformed our forecast primarily due to the excellent sales from our Calvin Klein and Jessica Howard dresses. Our net losses for the quarter of $6.9 million were also better than we expected, with good profitability in the dress business. Our net loss per share was flat to the year ago level at $0.42, much better than our guidance for the quarter of a net loss between $0.37 and $0.51 per share. Our order book is in good shape. We are currently booked at about 75% to plan. In general, all of our businesses are tracking well right now, Calvin Klein, Kenneth Cole, Guess?, and the sports business are all looking well. Well we recognize the tough tenor of the retail environment, the strength of our brand and the products we’re delivering are very much in demand in the marketplace. I’m also pleased to say that the integration process for Andrew Marc is going well. We have eliminated about 20% of the headcount, we’ve closed the redundant to overseas office, systems are converted, and our product expansion strategy is well under way. We continue to be excited about the potential of this business to become a significant brand in a number of categories well beyond outerwear. We are actively pursuing some licensing arrangements for the initial expansion of the effort. While we are not quite through the process, we have a number of that sort of partnership opportunities and have good indications of support for these efforts from key retailers for the brand. Because of the opportunity we have with the Andrew Marc brand, we are excited to be investing in the brand this year with a significant media presence for the fall season. We believe our marketing initiatives are well timed, while creating value to the Andrew Marc outerwear business and will prime the market for new categories. In addition to a good expectation for what Andrew Marc will contribute to our future, we remain optimistic about the remainder of the year. We are fortunate to be aligned with some of the best brands in the marketplace. We’re leveraging this with some steady products that we think will play right into the prevailing fashion trends, giving the consumer a compelling reason to purchase regardless of the environment. We are also working on some big new properties to augment our core business mix. Our balance sheet remains strong and we continue to have a vote of confidence from our banking group, which recently extended our available lines of credit to $250 million from $195. Our assets to capital and strong balance sheet positions continue to be an important strategic advantage. We continue to review our position opportunities that will help us grow the company and we are in a strong position to capitalize on what has becoming a more favorable buyers market. Despite our optimism, as you know we tend to run our business pretty conservatively. This has proven time and again to have been the right approach. We’ve seen some very challenging environments over the past couple of fall holiday seasons and we’ve achieved good growth despite this. Like everyone else in the industry, we are going to be working against pressures of the market which include a generally hesitant consumer and the increase in costs. We are comfortable that once again this year we have an opportunity to deliver a top-notch product from a variety of powerful brands and to show significant growth both on the top and bottom line. I will now turn the call over to Neal Nackman, our Chief Financial Officer to review the quarter and provide you some details on our guidance.
Neal Nackman: First with respect to our first quarter’s results: Net sales for the quarter ended April 30, 2008 were $75.4 million, compared to $35.1 million in the year ago first quarter. Our first quarter continued to be our lowest sales quarter; however we did see nice increases in sales this quarter, primarily the result of non-outerwear sales in both our licensed and non-licensed segments. Increases in sales of licensed apparel were primarily the result of increased sales in Calvin Klein dresses, while the non-licenses apparel increased monthly from sales in the Jessica Howard and Eliza Jane dresses. The Jessica Howard acquisition occurred during the second quarter of last year and accordingly their financial results are not included in our first quarter’s results last year. We had a net loss of $6.9 million for the quarter or $0.42 per share, compared to a net loss of $6.4 million or $0.42 per share in the year ago quarter. As Morris mentioned earlier, these losses were significantly less than we forecasted. We expected larger losses in the acquisition of Andrew Marc on February 11 2008 which is not expected to generate profits for us, until the third fiscal quarter of this year. While launch incurred from the Andrew Marc business was as expected, much of this growth was offset by the strong performance of our dress businesses. Gross margin percentage increased over the quarter to 23.3% from 20.9% for the prior year’s quarter, primarily the result of higher margins achieved from just sales. SG&A expenses increased to $27.2 million from $16.5 million the year ago quarter. This increase is primarily attributable to the expense associated with the acquired Andrew Marc and Jessica Howard businesses and to a much lesser extent expense increases associated with the Calvin Klein dress business. Now turning to guidance: we are expecting full year sales to be in the range of approximately $650 to $660 million or an increase of 25% to 27% compared to the prior year; EBITDA to be in the range of $50 to $51.5 million which would result in an increase of 32% to 36% over the prior year and net income per diluted share to be in the range of $1.25 to $1.30 per share or an increase of 19% to 24% over the prior year. Regarding the second quarter, we are expecting sales of approximately $100 million this year compared to $84 million in the comparable period in the prior year and a net loss of approximately $3.6 million or $0.22 per share compared to a loss of $884,000 or $0.05 per share in the prior year. The increase in our net loss is primarily attributable to the impact of an Andrew Marc acquisition which I had mentioned earlier as a [indiscernible] similar to the rest of our core outerwear business. That concludes my time and I will my time and I will now turn the call back to Morris for closing remarks.
Morris Goldfarb: We are proud of the results we have reported for the first quarter and with the strategic progress we continue to make. Our core business is performing well. Our initiative with Andrew Marc is proceeding well and we are excited to take additional steps to continue our transformation of G-III into the fall season and diversify the parent company.
Operator: (Operator Instructions) Your first question comes from Jim Duffy - Thomas Weisel Partners.
Jim Duffy - Thomas Weisel Partners: In the first quarter how much of the business was dresses? Were you able to isolate that between Jessica Howard and Calvin Klein?
Neal Nackman: We haven’t been breaking it out at that level. We’ve spoken about our total outerwear business for the year being 80% and that is going to be consistent again. Of course the first quarter was more significantly dresses in the first quarter.
Jim Duffy - Thomas Weisel Partners: You’re getting such a nice contribution from products under the Calvin Klein brand. Are you prepared to break out what percentage of your revenue you expect to be under the Calvin Klein brand for the rest of the year?
Morris Goldfarb: No we’re not, but we’re prepared to tell you that our other brands are all posting nice increases as well. In many cases they are double-digit, better than low double-digit increases, but it’s really not all about the Calvin Klein brand. We have a healthy business; Calvin Klein is a great driver for it, but the Guess? brand is performing well, the Kenneth Cole brand is performing well, Sports Licensed is performing well, Jessica Howard dresses was a major contributor to our first quarter, so it’s a fairly well rounded business.
Jim Duffy - Thomas Weisel Partners: In your prepared remarks you left out a lot of details on each of those different businesses. We are no longer hearing from you about things like XO [ph]. How should we think about that and things like the Alyssa Milano business and the contribution that they made in this particular quarter? Any color you can provide would be helpful.
Morris Goldfarb: Well I would say that you consider that kind of a one off situation. We’re proud to say that that XO is a profitable business for us. It is not of the scale that we had hoped it would be today, but I can comfortably tell you that the store count is increasing in the boys business and in the men’s business we have for the first time, I think, a July deliver. It is something that we’re proud of. We’ve been in a period of liquidation in that brand, liquidating some of the early commitments made by Wal Mart. We did not contribute very much to the markdown needed to move the product, that was a Wal Mart liability and it’s been okay. The good news is they’re with us, they want to continue the brand, and we have eliminated some of the expense attached to managing that brand. We’ve integrated it into our sport license division and there is very little cost attached to running it. It’s a nice place to be. Early on when we signed this agreement we thought that we could, we were talking of and dreaming of maybe $100 million in business over a period of time. The good news is that’s still a dream, it’s not over; we’ve stabilized it, it is profitable. On the, I guess we don’t speak about it or we have not spoken about if for the first quarter because it was a very small piece of the shipping for the first quarter, so we didn’t touch on it. We touched on Alyssa Milano our bookings are very good. The partnership with JC Penneys is important to us, the store count is increasing on the commitments made, and it’s still a relatively small business. I can comfortably tell you it will at least double in size this year, comp to last year and it still doesn’t hit the charts. So, it’s certainly worth being engaged in, it brings us other licensed opportunities and Alyssa Milano is a great champion for the brand.
Jim Duffy - Thomas Weisel Partners: One more question on the portfolio and then I have a couple of questions on the numbers. Any update on the Calvin Klein active wear?
Morris Goldfarb: Yes. We’ve had one solid distribution of product; it was our first initiative in shipping. We were in; actually we’ve done kind of a nice job quickly. We’re in 30 Macy’s stores; we’re in approximately 20 Lords and Taylors doors, we have about 40 stores with Dillards participating in it. The Bay in Canada is not in yet, but they’re in 45, they’ve given us distribution for 45 stores, we have approximately two dozen specialty stores that are on line and we’ve got some maxim issues we’re working toward in the sporting goods arena. So, we are happy with it. We’ve just received a second special of shipping that looks absolutely great and if you’re in New York I’d encourage you to stop by and see what the product looks like.
Jim Duffy - Thomas Weisel Partners: Then Neal a couple of questions on the guidance: first Q1 to Q1 you had a $40 million year-to-year improvement in the numbers and then Q2 to Q2 guidance i9mplies kind of a $15 million year-to-year improvement. Is the difference there the Jessica Howard business or is there some shift in timing of shipments?
Neal Nackman: A little bit of both but significantly the Jessica Howard business was in the numbers pretty significantly in Q2. That acquisition was May 11 last year, so we got all but the first 20 days of their shipping in our Q2, and we are still experiencing continuously some push back in terms of the outerwear business and outerwear we have shipping going from Q3 through Q2.
Jim Duffy - Thomas Weisel Partners: Morris, with regards to your bookings for outerwear, was it 75% that you said are now on hand?
Morris Goldfarb: No, what I basically said was 75% of our plan which encompasses pretty much the entire company is on hand, which is for us it’s a big number and it is slightly ahead of last year as a percentage of bookings, so it’s a good place to be. Still being primarily a coat company, we still have a long way to go.
Jim Duffy - Thomas Weisel Partners: Right, but on a relative basis you’re kind of ahead of where you were last year at this point in time.
Morris Goldfarb: On a relative basis the answer is yes.
Operator: Your next question comes from [Jody Cain] - Sidoti & Company.
[Jody Cain] - Sidoti & Company: Neal just looking at the EPS for the first quarter kind of being flat year-over-year then seeing a bigger decline in the second quarter of EPS, is that just primarily the addition of Andrew Marc?
Neal Nackman: That’s right and again just a little bit of what Jim was asking before; in Q1 we had the additional dress business is all new business, so we don’t have that listed in Q2, to offset those Andrew Marc losses.
[Jody Cain] - Sidoti & Company: Looking at the guidance for revenue, the high end is almost 27% growth. Why is the EPs growth not in line with that revenue growth?
Neal Nackman: If you look at our net income and the tables, our net income growth is in line with that. We’ve got a little bit of dilution that takes the EPS down a little bit for that. Last year, if you recall, we did the follow on offering that is only affecting my share counts starting in March and April.
[Jody Cain] - Sidoti & Company: The Calvin Klein business, the active wear, the new lines that you are sending to stores right now. Is there any reason why any consumer wouldn’t look at Calvin Klein and say, keep Calvin Klein for sports wear, and then wear sports clothes for doing activities.
Morris Goldfarb: I didn’t understand the question Jody.
[Jody Cain] - Sidoti & Company: I’m just trying to figure out why the consumer would buy Calvin Klein active wear as opposed to an Acura and not just keep the Calvin Klein products for going out, I mean what is the incentive, why would they buy this and why do you think it’s a good line?
Morris Goldfarb: The line is actually a great line and it’s a line that may be considered a little less functional than Under Armor. It’s created to dress the woman early in the morning and then she’s got the ability of wearing this where she works at, she can go shopping wearing the pants and the shirt and the layering pieces are now working that coordinates with it, so it is not strictly a work out fabrication. To clarify it, it could be classified a little bit more as sort of daywear. We’re telling the consumer that the diners can also create this product. It’s not all about function. Some prefer a little bit of creativity other than functional rabbits and we’re on it. We’ve got some great designers, which is why I invite you to come up and see what the product is headed toward.
Operator: Your next question comes from Eric Beder - Brean Murray.
Eric Beder - Brean Murray, Carret & Co.: Can you talk a little bit about the market for M&A getting better. Could you kind of give a little color on that on what you’re seeing in terms of, the last time we talked you said multiples were a little too high, have multiples started to come down in terms of a lot of people are asking for in terms of DFM?
Morris Goldfarb: I think it’s dependent on the property that you look at. There is a concern, because of the retail climate. The consolidation of stores is very obvious. The instability of the retail world is also very concerning to many people and finances business as we all know is becoming virtually impossible to a company not on scale and not able to mandate retail prices on the floor. So we seem to have that, we have the attention of management, we have the retail presence. When I say retail presence our products are clearly occupying a significant space where we get the attention of management to take in additional brands. We’re doing that, we’re levering a lot of what we have to grow Andrew Marc. We have the ability to finance it, we have the talent group to support it, and we have the attention of the manager’s teams that retail vendors to support it. So that’s a good example of the type of acquisition we believe we can add value to and find appropriate deals that don’t trade at a very high multiple. The format in which we have traditionally bought companies, if they’re entrepreneurial, we have a component that is none app component. So the founders and the operators of the business have an opportunity to prosper along side of us, so that bodes well for this business.
Eric Beder - Brean Murray, Carret & Co.: In terms of Andrew Marc, you already have a handbag license, what kind of the next round of licenses do you want to have and when do you think you’ll start to see that kind of stuff?
Morris Goldfarb: We do not have a handbag license; we manufacture the handbags in house. That business is growing quiet nicely since our involvement. We are in discussions with two very logical companies that upsized and hopefully we’ll be able to secure at least one license within the next 30 days and post that we think we’ll be on the tails of that we’ll have another license to announce and that’s a wonderful thing. We’ve been on the paying side it would be great to promote a band and collect some revenues for our efforts; so we’re excited by that and we are very select on the caliber of licensee that we would sign on. This isn’t about just creating a raw piece dealing with inappropriate licensing so it’s calculated and we are truly looking for valid partnerships.
Eric Beder - Brean Murray, Carret & Co.: What sort of [lease] do you ask for this year?
Morris Goldfarb: At least one, possibly two.
Operator: Your next question comes from Todd Slater - Lazard Capital Markets.
Todd Slater - Lazard Capital Markets: Is there an international component to Andrew Marc and also is there potential on the sportswear side?
Morris Goldfarb: The answer to both is yes and I will address each one individually. The international component we’re working on very quickly. We believe it is a great brand for the Russian market. We’re there today, quite honestly, trying to form an alliance that will appropriately market the brand in Russia and then we’ll work at the European market a little bit later. We do have some representation in Europe. We’re reviewing it, our team in Europe is coming to New York towards the end of this month to review the possibility of going a little bit more global with Andrew Mark. As far as the sportswear component of Andrew Marc, we’re not ready to deal with that right now. There’s a strong possibility that we would do a castle group dress before the year is out to service the Neiman Marcus/Bloomingdales sector. We have the talent pool to create it, we’ve got the research sector to support it and I think we have the appetite of the retailer to market it, so we believe that we will see some dresses before we see the sportswear.
Todd Slater - Lazard Capital Markets: Moving onto just getting a sense of the inventory level that you’re planning this year: sort of just talk about directionally where you see them by major classification, outerwear, dresses, other apples-apples if you look at the, well actually you’re not affecting the acquisitions, but how you’re sort of planning inventory for the rest of the year.
Morris Goldfarb: We’re planning our inventory actually, if you look at it as it relates to our order book, we’re planning it very tight. The environment doesn’t give us the comfort that this would be the year to be the ranch on inventory only. What you might see is we will have a fair amount of inventory for second quarter that is planned. We’re looking at what is going on in all parts of the world as far as production, as far as shipping, as far as the Olympics, and our strategy, I think we might have spoken about this six months ago, our strategy was to full power production very early, get it out of the way of all the stuff that generally happens in a difficult environment. Our lenders understood it well, they worked with us to support our needs, and we’re comfortable that we have the money to fund it. We have the warehouse distribution facilities to house it and we have the orders to ship it. So what make get skewed is when we report you might see our inventory levels a little bit higher than you might expect for a second quarter, but that’s strategic.
Todd Slater - Lazard Capital Markets: That’s good to know ahead of time. When you say that you’re ahead of last year in lower end of last year booking, I just want to make sure I understand if that’s in dollars, in units, or percent that you own relative to plans or how do we look at that?
Morris Goldfarb: You look at it in dollars. We measure our business in dollars. We look at how we manage our distribution by units, but it’s clearly our comps are always in dollars.
Todd Slater - Lazard Capital Markets: Is there anything on the sourcing side that we need to be aware of in terms of cost pressures and geographies and things like that?
Morris Goldfarb: No, I think that’s why people choose to invest in G-III, it is our core competency, we source well, we plan our business, we partner with the right factories, and providers from all parts of the world; so I would say that there’s normal economic impediments that generally force you to pay a little bit more year after year. Our currency is not what you know, weigh on the buying side and fortunately we don’t have a sector of our business that supports a lot of European business, so we’re trading in dollars and doing fine. Well there is the sector of the business which is a leather business, the skin prices have gone up dramatically and that’s hurt some of the leather business and we seem to have fixed that by concentrating on the areas of that business that we could market well. Our wool business is excellent, down business is great, the only real pressure that we see in pricing is the leather business for the moment, the skin price on leathers.
Todd Slater - Lazard Capital Markets: So there are some cost pressures being offset by other strategic mix shift and overall on the whole portfolio costs are going up, balance, how would you describe it?
Morris Goldfarb: Well we also have some higher margin barriers that can offset some of the higher costs. A lot of what we do is if we’re in the coat business we’re in a competitive environment and we’re the superior brand, so that can offset some of the additional costs that we incur. The Cole Haan business or the Andrew Marc business to a lesser issue, because of the tiered distribution level we have can afford a couple of dollars more. I don’t look at price as being the issue this year at all. That has not been one of our hot buttons. Our hot button is getting the product right, getting it in, being prepared to ship it, and assuring ourselves that the sell through is going to be appropriate. In the past, my heritage brings me to buying the best, producing the earliest, and producing the most in classification. That’s not the school of thought any longer. The school of thought is to get it right, pay a little bit more if we need to and manage your markets, and we’re operating on a totally different regiment than the company has been accustomed to. We’ve been working toward that for years. It’s part of how we shored up our systems and our financial reporting internally within our divisions that has schooled our merchants to operate in difficult times.
Neal Nackman: Just to add some flavor in terms of modeling: what we haven’t given out, which we just won’t give out any more detail of the gross margin as to May level, we’re also expecting in this year to have some gross margin increases in the business. Just to help you in terms of modeling and understanding the portfolio in total.
Todd Slater - Lazard Capital Markets: Any color on the Dockers part of the Andrew Marc acquisition?
Morris Goldfarb: Yes we have a full year plan in as far as booking is concerned. There is one minor concern and then we’ll bring it on the table, it is called margins, but not a major concern. That business is good; our five years plan is in house.
Todd Slater - Lazard Capital Markets: Mervyns, what percent of the business is [warpburger]?
Morris Goldfarb: Not enough to really be concerned with.
Todd Slater - Lazard Capital Markets: Since the Seltic’s are about to beat LA is there an upsize in the sports licensing business this year?
Morris Goldfarb: Not enough, our classifications in NBA are not significant enough to move the needle.
Operator: Your next question is a follow up from [Jody Cain] - Sidoti & Company.
[Jody Cain] - Sidoti & Company: The advertising that you’re doing for the Andrew Marc’s business, is that affecting Q2?
Morris Goldfarb: No, it’s not affecting Q2. It will affect Q3 to some degree and a little bit of Q4.
[Jody Cain] - Sidoti & Company: Revenue in Calvin Klein business, does that kind of offset some of the outerwear business in the second quarter or it not up to scale until the DHF?
Morris Goldfarb: The performance?
[Jody Cain] - Sidoti & Company: Yes.
Morris Goldfarb: No. If we make our plan, which we will, it’s a very small plan; it is really we should have no concern on the performance business for this year. It is a very small plan; it should not be a problem at all.
[Jody Cain] - Sidoti & Company: What about the integration costs and just taking costs out of the business, is that going to continue from the first quarter into the second quarter?
Morris Goldfarb: If we see opportunities it will continue. What we’ve done is worked well and very quickly on the Andrew Marc component. We saw opportunities when we were negotiating for the company, it’s part of the reason that we acquired it and we took a stand right out of the box, we consolidated some real estate overseas, we eliminated an office, we have reduced our headcount by about 20% and now we’re working on the domestic side as far as real estate is concerned, where we’ll be moving one of the acquisitions nearby and we are still a growth company and to tell you that we’re going to eliminate costs to a major degree for the year, I’d say probably not.
Operator: Your next question is a follow up from Jim Duffy - Thomas Weisel Partners.
Jim Duffy - Thomas Weisel Partners: Neal, you mentioned that some of your retailers are taking receipt of the outerwear product closer to Mead. What are some of the other things that are different in your conversations with retailers this year that may change how you’re managing the business?
Morris Goldfarb: Well there’s a greater dependence on us to deliver products to the floor. We’ve become a major supplier to Macy’s, to Dillards, to Nordstrom’s and the fact that they would suffer with shortage of inventory if we didn’t deliver, kind of necessitates some level of corroboration and we’re getting that, but the mantra has been for the last couple of years to take care of products in as close to need as we can possibly do it. We balance that as far as production, distribution, and shipping is concerned. It’s not an easy juggle and this year we decided that it was necessary for us to take the receipts a little bit earlier than our shipping would be. We believe that the orders are secure. It gives us the opportunity to inspect, evaluate, and maybe in many cases not be at risk of the carrying product end, so the net of it we calculate as a risk.
Jim Duffy - Thomas Weisel Partners: Effectively you’re taking the inventory in earlier, there will be stages of delivery I presume to the customers, or is there just one large shipment which goes closer to need?
Morris Goldfarb: There are stages and it’s a process of negotiating. Well we’d like to ship the product early, they want to take it as late as possible, there’s we’re talking about outerwear that generally goes wants to sell in August, September our ad design is to ship in July, we negotiate it and we believe that what we’re forecasting for you is a fair assessment of the lay of the land.
Jim Duffy - Thomas Weisel Partners: Morris, put another way, are the retailers asking you to take more of the inventory risk?
Morris Goldfarb: No, I don’t know I guess in dealing in this retail climate for years, we’ve seen dirt caking inventory risks. The orders are the first inventory they receive. If the sell through’s not a soft hit when they come back for markdowns, we are not buying uncommitted inventory. We’re not taking that product we’re not locked [indiscernible] there are some stores that try to force us to take it back, but we’re buying what we need. There is no further risk. The reason that we have this inventory of products is purely because we’re concerned that if we don’t take it in early we simply won’t have it. The Olympics will get in our way. We’re all aware of the capabilities of the Chinese community. They can decide at the drop of a hat that hey, we’re not going to let containers flow for two weeks in July. I don’t want to be at the mercy of a political event. It has been our strategy for the last six months and it’s part of why we negotiated some really good deals with the financial community. They saw it, they support it, and they’ve reviewed the risks as far as our past and our needs and they’re very much in line with just what we believe is the appropriate strategy for today’s time.
Jim Duffy - Thomas Weisel Partners: Within it he portfolio if you parcel and part those components which were acquired within the last year and look at organic growth of the business, what type of growth rates would you be seeing in your plan for the year?
Morris Goldfarb: We’re pretty consistent with where we were last year. I think more strips back the opposition last year we were in, the amount of 12% and we’re filing in the low double-digits when you strip back the opposition this year as well.
Jim Duffy - Thomas Weisel Partners: That’s pretty strong given the current environment. Final question, you have been very active on the acquisition front, which has presented you with tremendous opportunity to be realized in future periods here. Why at this point not sit back and just operate those businesses that you’ve acquired and focus on realizing some of those opportunities. Why does it still make sense to be out looking for additional properties?
Morris Goldfarb: We’re looking at properties and formats that are not invasive of our time. Our human resources, they come with management, it’s the appropriate time for this company to enter into certain businesses. As we prepare to disclose a situation, I think you’ll understand the merit of it. This is in wholesale shopping for any acquisition; to weigh around pieces of business that integrate well with what we have is a wonderful thing. These opportunities are not brought to you at normal times.
Neal Nackman: We really balance it out, we’re very careful on one side with the integration process and make sure that we project them properly and on the other side we continue to pursue acquisitions. We make sure that they’re, all the appropriate teams are in place to run and manage the businesses, and it works well for us.
Operator: Your last question is a follow-up from Eric Beder - Brean Murray.
Eric Beder - Brean Murray, Carret & Co.: What’s happening with Evelyn Tracy, in terms of what is allowed? I know it was kind of pushed back when the acquisition was. What’s going with Evelyn Tracy now?
Neal Nackman: Business in Evelyn Tracy is actually good and coat business is up double-digits and dress business has been an okay: it’s making some money it’s not bleeding. We hesitate to make a major commitment to it, because we don’t know where it is. We don’t know where the current ownership is positioning it. So, we’re operating, it’s prosperous, and if the day comes that we don’t agree with the strategy of the current ownership and it goes away, it’s not the end of the world either. So, we’re in a very, very good place with this band.
Morris Goldfarb: I thank you all for your time and we wish you a very, very good day. Thank you.